Operator: Good evening. My name is Terry, and I will be your conference operator today. At this time I would like to welcome everyone to the second quarter fiscal year 2015 conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. We would now turn the conference over to Ms. Candace Formacek. Please go ahead.
Candace Formacek: Thank you, Terry, and thank you for joining us today. George Freeman, our Chairman, President, and CEO; and David Moore, our Chief Financial Officer are here with me today. They will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through February 5, 2015. If you are listening to this call after that date or if you are reading a transcription, we have not authorized such recording or transcription. It has been made available to you without our permission, review or approval. We take no responsibility for such presentation. Any transcription, inaccuracies or omissions or failures to present available updates are the responsibility of the party who is providing it to you. Before I begin to discuss our results I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year-ended March 31, 2014, as well as our Form 10-Q for the fiscal year ended September 30, 2014, which was filed with the SEC today. The factors that can affect our estimates include such things as customer-mandated timing of shipments, weather conditions, political and economic environment, changes in currency, industry consolidation and evolution and changes in market structure or sources. Finally, some of the information I have for you today is based on un-audited allocations and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures including reconciliations to the most comparable GAAP measures, please refer to our second quarter 2015 earnings press release. Our results continue to be impacted by the oversupply in tobacco leaf markets and the effects of softer demand from our customers that we discussed last quarter. Markets have developed slowly in some origins, with a later start to purchasing and processing, and delayed receipt of shipping instructions from customers. Although we normally ship a large portion of our volumes in the second half of our fiscal year, this year significantly more volume is being pushed into this period. Improvements that we have made in Africa, including the opening of our second processing line in Mozambique, will help to move shipments out prior to our current fiscal year end, barring any unexpected logistical challenges. Turning to the results detail, net income for the first half of fiscal year 2015, which ended on September 30, 2014, was $15.7 million, or $0.35 per diluted share. Those results included an income tax benefit of $8 million or $0.34 per share arising from a subsidiary's payment of a portion of a fine in the first fiscal quarter. Last year's net income was $83.8 million, $2.95 per share for the period and included a nonrecurring after-tax gain of $53.1 million, $1.96 per share from the resolution of excise tax credit litigation in Brazil. Excluding these nonrecurring items in both years, net income for the six-months decreased $23 million compared to the same period last year. For the second quarter of fiscal 2015, net income of $15 million was down $10.4 million from the prior year’s second quarter. Operating income in our other regions segment, which was down $26.2 million compared to the first half of the previous year, was influenced mainly by lower sales volumes from delays of current crop shipments into the second half of the fiscal year. Gross profit margins for this segment improved just by about $10 million in inventory write-downs on styles of tobacco in excess of demand. In Africa, volumes were down on processing and shipment delays, although shipments from Mozambique had caught up with prior year levels by the end of the second quarter. Better margins in Brazil, compared with the prior year, partially offset the impact of lower volumes there in the first half of the year. North America segment operating income of $6 million for the six months of fiscal 2015 decreased by $4.9 million, compared with the previous year on reduced sales and processing volumes. The reductions were mainly due to shipment orders delayed into the second half of the fiscal year, as well as the later harvesting of current crops in the United States due to this year's weather conditions. Total selling, general, and administrative costs were $11.5 million lower for the first half of fiscal 2015 compared with the prior year. The improvement was due to favorable comparisons to the previous year's currency remeasurement and exchange losses, mainly in Asia and South America, lower loss provisions on advances to suppliers, and lower incentive compensation costs. We were also able to award our shareholders for the 44th consecutive year with an annual dividend increase announced earlier today. We expect modestly lower lamina volumes in fiscal year 2015 compared to the prior fiscal year due to soft customer demand, but believe we remain well-positioned in the industry with our strong customer relationships, increasing customer satisfaction with our products and services, and our solid market share. Revenues for the fiscal year are also expected to be down compared to the previous fiscal year primarily due to declining prices and the softer demand that is typical of an oversupply environment. In addition we continue to work to balance anticipated global leaf tobacco supply and demand and to minimize our uncommitted inventory which at about 15% were within our normal range at the end of September. Looking forward we continue to monitor market challenges in the global tobacco industry that may impact our customers as we explore ways to provide more value-added services, make our operations more efficient, and reduce sourcing complexity. Yesterday we announced that our subsidiary Universal Leaf North America US Inc. will increase its direct purchases of flue-cured and burley leaf tobacco expanding its support of the United States tobacco growers as part of a new leaf supply agreement with Philip Morris International Inc. Currently PMI purchases tobacco in the United States through a direct farmer contracting model. Under our new leaf supply agreement effective for the 2015 crop we will be selling PMI processed grades of tobacco. This new arrangement will broaden our leaf purchasing and grower support activities in the United States and is expected to have a positive material impact on the results of our North America segment in fiscal year 2016. Since most manufacturers are unable to use all the leaf grades and styles produced in farmers’ crop, we believe that purchasing tobacco through leaf suppliers rather than under a direct sourcing model adds efficiencies to the market. The leaf tobacco supplier plays a vital role in the industry by finding buyers for all of the leaf grades and styles of tobacco. We believe moves by manufacturers away from direct sourcing model signal recognition of the value and efficiencies provided by leaf suppliers. At this time we are available to take your questions. 
Operator: (Operator Instructions) And we do have a question from the line of Ann Gurkin with Davenport. 
Ann Gurkin – Davenport & Company: I wanted to start with what I review as very positive news and that’s your announcement yesterday regarding the new leaf supply agreement with PMI. I think that is a very positive development for you and for the whole industry. And I was wondering that, that could possibly lead to additional discussions in other markets, if you care to shed any light on that potential direction of the industry?
George Freeman: Well, I would just say that you clearly -- it is no secret about what our customers’ sales volumes are doing and we continue to explore opportunities to add efficiencies throughout the supply chain. And I think there's plenty of opportunities to add efficiencies in the supply chain. I will leave it at that.
Ann Gurkin – Davenport & Company: George, I always appreciate your insight into the global supply – leaf for oversupply situation right now, have you seen any major changes since the last call, any areas where you’re seeing more concern or better concern, just any update that’s significant?
George Freeman: No, I think the other crops in the ground -- the Zimbabwe number is always hard to peg but I sure wish it were sort of showing at flat or slightly up. I sure wish it were coming down, I think that will occur soon enough. But that’s one of the ones that really worries me.
Candace Formacek: Ann, I’ll also point out the fact that we did post our new outlook for leaf production globally and I think as we mentioned last time it normally takes a couple of years to work through the leaf oversupply. We are at this time seeing projections of declining production volume around for the globe for next year's crop.
George Freeman: And the Zimbabwe customer base is not the same as in a lot of other countries, it’s unique but at some point to – all tobacco is smoked.
Ann Gurkin – Davenport & Company: I look at the leaf production by crop here and it looks like there was not a major shift, the US seems to be coming down and I guess that’s due to maybe the late harvest or weather conditions, I was wondering is there anything else?
Candace Formacek: Yes, I have to look at the last one. I don’t think that there's been a major shift in that number for the current crop year. 
Ann Gurkin – Davenport & Company: And then in the current quarter, equity and pretax earnings are stronger than we were looking for. So can you give me an update as to what’s behind that number and how to think about that number in the second half of the year? The 3.3. million number –
Candace Formacek: Yes, yes, well we did see some benefits in our Oriental joint venture this year and those in part were from better margins on product mix and the absence of last year’s currency exchange losses from devaluation.
George Freeman: And a lot of those currency exchange losses they suffered last year. They were recouped because the price of leaf tobacco is lower and so as they ship those tobaccos throughout the year you'll pick up that improvement. 
Ann Gurkin – Davenport & Company: I thought that market was recovering and so I was just curious if there was a pickup in just the underlying strength of the market that was maybe faster than expected – not putting the currency issue –
George Freeman: Little bit but I wouldn't get too excited at this point. 
Ann Gurkin – Davenport & Company: And then you called out on cost deficit [ph] with your new illiquid venture, can you quantify those costs?
Candace Formacek: No, we are not quantifying that. But I just wanted to point that out that is one of the elements that is in that segment. And we have two new ventures underway at this point. So [that’s maybe the reason but I’d note]. 
Ann Gurkin – Davenport & Company: And then the tax rate was lower this quarter and any insight, David, you can share with us on the tax rate for the year?
David Moore: I think probably for the year end, you're probably looking at a range of 27 to 32. You know the items that drove the six months lower are r permit for the year. So it does have a favorable impact. Longer-term, though, I think I would stick with the 34%, 34.5% we’ve given you in the past.
Ann Gurkin – Davenport & Company: And then CapEx it looks like you lowered that a little bit to a $70 million to $80 million range, what’s behind that change?
David Moore: It didn’t change that much, it's all relative to timing for paying the bills for the CapEx. So we just sort of rejigged the next 12 month number but nothing appreciable change in it. It’s still the completion of the expansions in Africa, now entry into the food ingredients business are the larger unusual items.
Ann Gurkin – Davenport & Company: And can you give a worldwide uncommitted inventory number, not for the industry?
Candace Formacek: Yes I do. Sorry I have just misplaced. So yes, so our worldwide estimate for the flue-cured and barley stock is 92 million kilos. That's at June 30. 
Ann Gurkin – Davenport & Company: And then my last question is how should I think about operating margin in the back half of the year given the oversupply, given lower prices, given customer delays, is there a risk that you will have lower fixed cost absorption like, how should I think about the risk to that operating margin in the second half of the year?
Candace Formacek: I don’t know, I’d say, Ann, that there is definitely going to be some factor that’s built in based on the differences in volumes that you see. And I would also look at what we did last year in comparison to this year for that indicator. But we don't have some of the same one-off items that we had last year but there are other different factors certainly way weighed in, in undersupply environment where there is some reduction in pricing. 
Ann Gurkin – Davenport & Company: And I was glad to see the 44th year of the dividend increase, that’s nice to see.
Candace Formacek: Yes, thank you.
Operator: (Operator Instructions) And I am showing no further questions at this time.
Candace Formacek: That’s great, Terry. Thank you and thank you all for joining us on our call today.
George Freeman: Thank you.